Operator: Good afternoon, and thank you for joining the Informatica Inc. Fiscal Q4 2024 Call. My name is Kate and I will be the moderator for today’s call. [Operator Instructions] I will now turn the call over to Victoria Hyde-Dunn, Vice President of Investor Relations. Please proceed.
Victoria Hyde-Dunn: Thank you, Kate. Good afternoon, and thank you for joining Informatica's fourth quarter 2024 earnings conference call. Joining me today are Amit Walia, Chief Executive Officer; and Mike McLaughlin, Chief Financial Officer. Before we begin, we have a couple of reminders. Our earnings press release and slide presentation are available on our Investor Relations website at investors.informatica.com. Our prepared remarks will be posted on the IR website after the conference call concludes. During the call, we will be making comments of a forward-looking nature. Actual results may differ materially from those expressed or implied as a result of various risks and uncertainties. For more information about some of these risks please review the company's SEC filings, including the section titled Risk Factors, included in our most recent 10-Q and 10-K filing for the full year 2023. These forward-looking statements are based on information as of today, and we have no obligation to publicly update or revise our forward-looking statements, except as required by law. Additionally, we will be discussing certain non-GAAP financial measures, these non-GAAP financial measures are in addition to and not a substitute for measures of financial performance prepared in accordance with GAAP. A reconciliation of these items to the nearest US GAAP measure can be found in this afternoon's press release and our slide presentation available on Informatica's Investor Relations website. With that, it is my pleasure to turn the call over to Amit.
Amit Walia: Thank you, Victoria, and welcome to everyone on the call. 2024 was a pivotal year for Informatica in our cloud-only consumption driven strategy. While we experienced overall momentum throughout the year, the fourth quarter did not unfold as anticipated. I will briefly explain why and ask Mike to provide additional details. To begin with, renewal rates were lower than forecast. As we work through the complexity of our business model transformation to cloud only, some execution issues related to renewals were identified and are underway to be addressed. We have allocated customer success resources to this initiative and expect to resolve it throughout 2025 Second, we saw a significant reacceleration of cloud modernization deals this quarter and closed a record year for on-premises to cloud migrations. This development in itself is a very positive for the long-term and as it creates more upsell and cross-sell opportunities for services on the IDMC platform. However, it has two short-term dynamics. Lower net new ARR, due to the accounting treatment of the subscription credits we give customers during the migration period and the roll-off of migration-related self-managed subscription ARR and maintenance ARR, which was higher than expected. Finally, we saw a reduction in the renewal term length for self-managed subscription contracts. While this does not affect ARR, it negatively impacts GAAP revenue due to ASC 606. This mainly arises from customers eager to start their cloud journey us more quickly. It is happening faster than we anticipated, which is a positive sign again in the long-term for our cloud business, but it negatively impacts GAAP revenue due to ASC 606 in the short-term. These factors, along with lower professional services and foreign exchange headwinds led to outcomes that did not meet our forecast. As Mike will explain in greater detail when he provides 2025 guidance, we are adjusting our expectations to account for these factors and our growth and profitability projections. Before turning to results, I'd like to take a minute to frame Informatica in the broader context of where we've been and we are going. For those who have been with us since Informatica became public, we are now in the final phase of a transformation. When Informatica became private in 2015, we set out to create the most innovative solutions in the -- on the industry's first and only cloud-native data management platform. We achieve this goal and started selling our IDMC platform alongside our on-prem solutions a few years later. At the beginning of 2023, we marked the start of the final phase of our transformation strategy by announcing the end of sale of our on-prem products fully committing to a cloud-only consumption-driven future state. Navigating this third phase have been challenging at times. Sometimes, the aforementioned factors, the underlying health of our cloud business and our cloud-only consumption-driven strategy remains very strong. Our large, high growth cloud business is very healthy even with our declining end-of-sale on-prem business. To give you a few examples. In Q4, cloud subscription ARR grew 34% year-over-year, representing nearly half of our total ARR. We expect cloud subscription ARR to hit the $1 billion mark in 2025, accounting for almost 60% of total ARR by the end of the year. In Q4, approximately 68% of cloud net new ARR in the trailing 12 months came from new cloud workloads and expansion with approximately 40% of that growth coming from new customers to Informatica. We continue to expect the majority of our cloud growth to be net new wins for new cloud workloads amongst new and existing customers. Our cloud net retention rate was 124% in the quarter, and we continue to see a healthy cloud pipeline. Cloud customer count grew by 8% for the year, and the number of cloud ARR customers spending more than $1 million with Informatica grew by 59% year-over-year. The average cloud ARR per customer was $335,000 growing 24% year-over-year. We closed a record year of on-prem to cloud migrations, which grew 42% year-over-year with in-term expansion sales of IPOs nearly doubling. We won net new cloud deployments with some of the world's largest customers, including a US based financial services company and an online travel techno company, expansion opportunities with Takeda, Axis Bank, Lumen and Yamaha and amortization deals with the City of Austin, to name a few. All of this was accomplished while delivering strong profitability. Full year 2024 non-GAAP operating income grew 16% year-over-year and adjusted unlevered free cash flow after tax grew 28% year-over-year. We continue to remain the innovation leader in the data management market. We have built the best data management products on the only AI-powered data management platform, supporting extremely difficult operational complex workloads and use cases that are multi-vendor, multi-cloud and hybrid. Our position as the customer platform of choice for cloud data management is supported by industry recognition, including being named a leader in the inaugural 2025 Gartner Magic Quadrant for Data and Analytics Governance Platforms Report and being named a leader in the 2024 Gartner Magic Quadrant for Data Integration Tools for the 19th consecutive time. We deeply engaged with our ecosystem and hyperscaler partners, including over 650 GSI partners, enhancing their practices on IDMC, issuing over 15,000 certifications in 2024, up from 12,000 in the prior year. Lastly, we remain confident in pursuing a $62 billion addressable cloud market according to IDC -- according to IDC, sorry, and in our ability to successfully capture this opportunity through product innovation with our comprehensive IDMC platform with CLAIRE AI and GenAI capabilities. At the end of 2024, the IDMC platform processed over 110 trillion cloud transactions per month, which grew over 29% year-over-year. With our enterprise customers, we empower them to use AI for data readiness and simplify the data cape with Informatica for GenAI and GenAI from Informatica, which are both available on the platform. With Informatica for GenAI, we now have about 100 customers using GenAI capabilities on IDMC. IDMC capabilities these customers use for GenAI include data ingestion and processing, including unstructured data processing for RA pipelines, connectivity to LLMs and AI app orchestration. Informatica has previously announced AI blueprints for all hyperscalers plus Snowflake and Databricks. Over the last four months, these customers have executed 270,000 calls or prompts to LLMs, excluding CLAIRE GPT. Use cases we are seeing include business process optimization and automation, business insights and decision support, sentiment analysis, enterprise data retrieval and augmentation to name a few. To give you some great real-life customer stories, one is a leading global biotech company, which is building an AI agent framework with IDMC and Google Cloud, enabling users to quickly gain insights from internal systems. Utilizing IDMC's out-of-the-box recipes for rapid deployment or development, these accelerate access to data-driven insights, enhancing decision-making and speeding up business outcomes. An insurance company is using our solutions for claim analysis and claim processing. A health care company is using Informatica products for patient engagement with holistic health and program support. A California-based non-profit is developing a RAD solution using local community data and resources powered by OpenAI and IDMC. This helps support center executives access relevant resources quickly, reducing cost and enhancing service quality. These are all pilot programs and will move to production over time. With GenAI from Informatica, we recently expanded CLAIRE GPT services across EMEA, Asia Pacific and Canada and 10% of our customers are now using CLAIRE GPT outside the United States. We are pleased to announce the extension of CLAIRE GPT services at no additional cost throughout 2025. This continuation of our 2024 promotion demonstrates our commitment to providing advanced AI capabilities while maintaining cost-effective solutions for our customers. Our product innovations are expanding on the IDMC platform with AI and GenAI capabilities, and we look forward to sharing more at our Informatica World Customer Conference in May. In closing, we achieved significant progress in 2024. While we have much to execute in 2025 as we look to scale to a $1 billion cloud ARR business, I am incredibly proud of the Informatica team. I would like to thank our partners, customers and shareholders for their ongoing support. With that, let me turn the call over to Mike. Mike, please take it away.
Mike McLaughlin: Thank you, Amit, and good afternoon, everyone. The fourth quarter of 2024 did not meet our expectations with key metrics falling short of our forecast. Before diving into the numbers, I'd like to begin my remarks with a high-level discussion of the factors driving the miss. While the fundamentals of our cloud business remains strong, multiple factors did not play out as we expected. First, our renewal rates lower than forecast. What we refer to as natural churn, which excludes the impact of customer migrations, increased by roughly 2 percentage points versus our forecast for both cloud and self-managed subscriptions and by approximately one half percentage point for maintenance. Second, we saw a significant acceleration of cloud modernization deals this quarter. As a result, the contribution of on-premise to cloud modernization deals, as a percentage of total new cloud bookings was significantly higher than expected. Modernization deals were over one-third of our new cloud bookings in Q4 compared to the mid-20s in prior quarters. While this result is consistent with our long-term cloud-only strategy and a good thing overall, in the short-term, it results in lower net new ARR because of the accounting treatment of the maintenance and subscription credits we give to our customers during the migration period. The third key driver of lower than forecast total ARR in Q4 was higher than expected roll-off of modernization related self-managed subscription and maintenance ARR. This reflected the success of our customer cloud modernizations being completed on time, which is a positive long-term trend. In addition to these 3 factors that impacted ARR, GAAP revenue was further impacted by a greater than forecast reduction in renewal term length for on-premise, self-managed contracts. We saw this happening in Q2 of this year, and we reduced our revenue forecast at that time to reflect the trend. But in Q4, the average renewal term length continued to decline more than we expected. As Amit mentioned, we believe this reflects the fact that more of our customers are beginning to plan for modernization of their on-premise data workloads, which we expect will be positive for us in the future. Finally, lower than forecast professional services revenues impacted GAAP revenue and unfavorable FX due to the strengthening of the US dollar in November were a headwind to both GAAP revenue and aero. So with that, now let me get to the Q4 numbers, starting with the total ARR. Total ARR finished the year at $1.73 billion, an increase of 6.1% over the prior year, which was 1% below the midpoint of our guidance. The growth was driven primarily by new cloud workloads and strong cloud net expansion with existing customers, as well as accelerate migrations from our on-prem base to cloud. Foreign exchange rates negatively impacted total ARR by $2 million on a year-over-year basis for the fourth quarter and $3.8 million year-over-year basis for the full year. Next, cloud subscription was $827 million, a 34% increase year-over-year. Cloud subscription ARR now represents 48% of total ARR, up from 38% a year ago. This result was about $9 million below the midpoint of our October guidance, primarily driven by the lower renewal rate of cloud subscriptions this quarter and the higher-than-expected contribution of on-prem to cloud modernization deals as a percent of total new cloud bookings this quarter. Approximately 68% of cloud subscription net new ARR in the trailing 12 months came from new cloud workloads and expansion with approximately 40% of that growth coming from new customers to Informatica. Modernizations accounted for 32% of our trailing full quarter cloud subscription net new ARR, up from 24% last quarter. Our cloud net retention rate was 124% in the quarter, and our cloud gross renewal rate was in the low 90s. Foreign exchange negatively impacted cloud subscription ARR by $716,000 on a quarter-over-quarter basis and $1.9 million year-over-year. Self-managed subscription ARR, which we no longer actively sell declined in the quarter to $447 million. This was down 5% sequentially and down 13% year-over-year, due to the effects of natural churn and the roll-off of migrated on-prem workloads to the IDMC cloud platform. The third component of total ARR is maintenance for on-premise perpetual licenses sold in the past, which now represents 26% of total ARR. Maintenance ARR was down approximately 9% year-over-year to $451 million, a somewhat greater decline than we expected. Most of the greater than forecast decline is due to more roll-off of modernization-related ARR as projects were completed. The natural churn rate of maintenance was slightly higher than forecast, about 50 basis points. Subscription ARR, which simply the sum of cloud subscription ARR and self-managed ARR, grew 13% year-over-year to $1.274 billion. As we indicated last quarter, beginning in Q1, we will no longer provide summary subscription metrics, including ARR, customer count and renewal rate. Modernizing our on-prem customer base to Informatica's IDMC is an important part of the strategy. As of the end Q4, 9.4% of our maintenance and self-managed ARR base has been modernized to the cloud or is in the process of modernizing up from 6.8% last quarter. We have a life-to-date average 1.9 ARR uplift ratio on these modernizations, down from 2.0 last quarter. Over the past four quarters, our average modernization uplift ratio was 1.7. This reflects a lower average uplift ratio for power center Cloud Edition modernizations, which were over 80% of modernization deals in Q4. We had been expecting this decline in the average uplift ratio, and we expect to decline a bit more in 2025 to approximately 1.5 to 1.7. We are very comfortable with this lower uplift ratio as we have found that cloud modernization typically drive significant net expansion sales upfront, have healthy expansion in term, and they have better renewal rates than non-expansion than non-modernization new deals. Now I'd like to review our revenue results for the for the fourth quarter. GAAP total revenues fourth quarter were -- of 2024 were $428 million, a decrease of 3.8% year-over-year. Foreign exchange rates positively impacted total revenues by approximately $1.3 million on a year-over-year basis, but FX was about a $2 million headwind to revenue compared to our forecast FX rates at the beginning of the quarter. Total revenues were approximately $30 million below the midpoint of our October guidance due to four primary factors: lower upfront revenue per ASC 606 accounting standards, for self-managed subscription renewals due to the lower-than-expected renewal rate, lower average duration of self-managed subscriptions that did not renew -- that did renew, lower professional services revenue and the strengthening of the US dollar in November. Cloud subscription revenue was approximately $187 million or 44% of total revenues, growing 33% year-over-year. As a reminder, due to the timing difference between revenue recognition and ARR, the relative growth rates of these two metrics will differ from period-to-period. Self-managed subscription support and license revenue combined was $111 million or 26% of total revenue and declined 32% year-over-year. As mentioned before, the impact of upfront revenue recognition of the license component or on-premise contract renewals and new bookings has a significant impact on our reported GAAP revenue. In order to help provide more clarity to investors on the impact of this upfront recognized revenue, we've added a new table to our investor materials, which breaks out the upfront ASC 606 revenue from our ratably recognized software revenue. As you'll see from that table, upfront recognized self-managed revenues declined by $46 million versus Q4 2023. And for the full year, upfront recognized revenue declined by $73 million. We will be providing the disclosure of upfront recognized versus ratably recognized revenue every quarter going forward in our investor materials and in our 10-Ks and 10-Qs. Maintenance revenue was $111 million and represented 26% of total revenue for the quarter. The maintenance renewal rate was 92%, down about 3-percentage points year-over-year and 2% versus last quarter. This renewal rate decline was primarily due to greater than forecast modernization roll-off. Professional services revenues, which includes implementation consulting and education, we're down about $1.3 million year-over-year to $20 million. As a reminder, our implementation services revenue has been declining as our services partners assume a greater share of that work for our customers, and we expect this trend to continue in 2025. Turning to geographic distribution of our business. US revenue declined 6% year-over-year to approximately $264 million, representing 62% of total revenue. The decline in US revenue growth is primarily attributable to the year-over-year decline in self-managed license and support services. International revenue declined 1% year-over-year to $164 million, representing 38% of total revenue. Now, I'd like to move on to our profitability metrics. Please note, I will discuss non-GAAP results unless otherwise stated. In Q4, our gross margin was 84%, 1.5 percentage points higher year-over-year. We remain focused on maintaining healthy gross margins as of our transitions to the cloud. Operating expenses were lower than our forecast for the quarter, but operating income was below the midpoint of our October guidance by approximately $10 million due to lower revenue. Operating margin was $0.379, a 150 basis point improvement from a year ago. For the full year 2024, operating margin improved by 380 basis points over the prior year. Adjusted EBITDA was $166 million and net income was $129 million. Net income per diluted share, were $0.41 based on approximately 314 million outstanding diluted shares. Basic share count was approximately 305 million shares. Adjusted unlevered free cash flow after tax was $180 million, $24 million above the midpoint of our guidance, primarily lower cash taxes than forecast and unrealized FX gains on US dollar cash balances held in foreign subsidiaries. Cash paid for interest in the quarter was $32.5 million, consistent with expectations. I'd like to provide an update on our share repurchase activity. During the fourth quarter, we spent $103 million to repurchase 3.8 million shares of Class A common stock at an average price of $26.66 through open market purchases. Additionally, from January 1 through February 12, we spent $27 million to repurchase another 1.1 million shares at an average price of $25.36. In total, we have reduced our total share count as of yesterday by about 1.6% as a result of these repurchases. And earlier this week, our Board approved an additional $400 million stock repurchase authorization, bringing the total authorization to $800 million. Taking these repurchases into account, we have $670 million remaining available under our $800 million share repurchase program. We intend to continue repurchasing our shares in the open market for the remainder of this quarter targeting similar dollar volumes as last quarter. We ended the fourth quarter in a strong cash position with cash plus short-term investments of $1.2 billion, an increase of $240 million year-over-year. Net debt was $591 million and trailing 12 months of adjusted EBITDA was $551 million. This resulted in a net leverage ratio of 1.1 times at the end of December. Now, I'll turn to 2025 guidance. Based upon the dynamics we saw unfold in our business at the end of Q4, we have lowered our forecast for 2025 relative to our prior expectations. We set our forecast and guidance assuming lower renewal rates than we had previously expected for self-managed cloud and maintenance, higher on-prem to cloud modernization deals as a percent of our total cloud bookings, a slightly low average modernization uplift ratio, shorter self-managed renewal term lengths and the continued decline in professional services. These changes to our forecast assumptions result in total ARR and total GAAP revenue growth, several points lower than we had previously planned and our operating income and free cash flow margin will not expand as expected due to lower revenue. We expect total ARR and total revenue growth to increase in 2026, but not the levels provided in the medium-term guidance we first offered at the end of 2023. We are not providing new medium-term guidance at this time, but we expect to do so later this year. Taking all this into account, we are establishing the following guidance for the full year ending December 31, 2025. Note that all growth rates refer to the midpoint of the guidance range. We expect GAAP total revenues to be in the range of $1.67 billion to $1.72 billion, representing approximately 3.4% year-over-year growth or approximately 4.6% on a constant currency basis. We expect total ARR to be in the range of $1.755 billion to $1.795 billion representing approximately 2.9% year-over-year growth or approximately 3.2% on a constant currency basis. We expect Cloud Subscription ARR to be in the range of $1.019 billion to $1.051 billion, representing approximately 25.1% year-over-year growth or approximately 25.3% on a constant currency basis. We expect non-GAAP operating income to be in the range of $146 million to $566 million, representing approximately 3.5% year-over-year growth. And we expect adjusted unleveraged free cash flow after tax in the range of $540 million to $580 million, representing approximately 3.3% year-over-year decrease. Our guidance for the first quarter ending March 31, 2025 is as follows: we expect GAAP total revenues to be in the range of $380 million to $400 million, representing approximately 0.4% year-over-year growth or approximately 2.1% on a constant currency basis. We expect total ARR to be in the range of $1.673 billion to $1.697 billion representing approximately 3% year-over-year growth or approximately 3% on a constant currency basis. We expect Cloud subscription ARR to be in the range of $840 million to $852 million, representing approximately 30% year-over-year growth or approximately 29% -- 29.7% on constant basis. We expect non-GAAP operating income to be in the range of $98 million to $112 million, representing approximately 3.9% year-over-year decrease. The press release includes the table showing the expected net FX impact for Q1 and full year 2025 on a constant currency basis. For modeling purposes, I'd like to provide a few more pieces of additional information. First, we expect adjusted unlevered free cash flow after tax for the first quarter to be in the range of $140 million to $160 million. Second, we estimate cash paid for interest will be approximately $30 million in the first quarter and approximately $118 million for the full year using forward interest rates based on 1 month SOFR and a credit -- spread of 225 basis points. For tax rates, we reported a full year 2024 non-GAAP tax rate of 22%, and we expect to be -- we got to be consistent in the full year of 2025. Looking at fiscal 2026 and beyond, we expect a long-term steady-state non-GAAP tax rate of 24%, which reflects the normalized taxes in the jurisdictions where we operate and under currently enacted tax laws. Cash taxes in full year 2025 are expected to be $70 million to $75 million, which is about $5 million higher than our cash taxes in 2024. And lastly, our share assumptions, For the first quarter, we expect basic weighted average shares outstanding to be approximately 304 million shares and diluted weighted average shares outstanding to be approximately 312 million shares. For the full year, we expect basic weighted average shares outstanding to be approximately 300 million shares and diluted weighted average shares outstanding to be approximately 316 million shares. Please note that the share count forecast do not include the impact of the share repurchases we intend to pursue between now and the end of quarter. And with that, I'll turn the call back to Vic for Q&A.
Amit Walia: Vic, before we start Q&A, let me take a moment and step back. Look, throughout the year, as I said, we had steady momentum, although the fourth quarter did not go quite as planned. We've identified the areas that need improvement. And we are actively working on addressing them. The fundamental health of our Cloud business and our cloud-only consumption-driven strategy remains very strong. And we're excited to be on track to reach a remarkable milestone for $1 billion in Cloud Subscription ARR in 2025. With that, Vic, let's proceed to Q&A.
Victoria Hyde-Dunn: Great. Thank you. Operator, let's open the line for questions, please.
Operator: Absolutely. We will now begin the question-and-answer portion of the call. [Operator Instructions] The first question will come from the line of Alex Zukin with Wolfe Research. Alex, your line is now open.
Alex Zukin: Hey guys. Thanks for taking my question. Amit, maybe just -- help us understand a little bit about retention rates on the Cloud side. That was one of the areas, I felt like, I just wanted to make a better understanding of kind of what happened there on these renewal cycles and cohorts. How are you fixing that? And what are you embedding for the full year in guidance? Because I think everybody wants to basically understand, given the issues that you faced in the quarter, what's the level of the level of confidence and conservatism that you've embedded. Obviously, at that point I just asked, across the board.
Amit Walia: Sure, Alex. Thanks for the question. Let me take the, what happened and Mike can talk about, how we baked that into the guidance. But look, we had the cloud renewal rate. We had two kinds of issues. One was more operational execution -- operational issues and the other one, was more organizational incentive-driven issues. And to give you an example of that, look, we've identified the operational issues. And I'll give you an example of that. Look, typically, our team, this is a team has outperformed and has delivered high renewal rates throughout has a very good sense of what the potential or range of flashing or any signs could be for a particular renewal, and they do a fantastic job of working on it, ahead of the time and renewals have to be worked ahead of the type, right? But a great example is that in some cases -- and look, it's kind of like we don't have 100.00 exact precise answers. But we know relatively directionally quite well. A great example is that, look, exact sponsor changes. And in a lot of cases, the sponsors change upfront. Basically, the new person comes in and they have a new strategy, they may delay a particular project or shelve it for a period of time and they want to come at it later and things like that. And our teams didn't catch it. And by the time they caught it, it was late. And at that that point, I think particular renewal comes to risk. That's a great example of something that happened as a rational one. We know how to solve it. We know, we'll be able to solve it. And the other color I'd give is that, not every churn is a loss of the customer 100%. In a bunch of cases, it's a partial churn also the customer said, look, I have other issues going on, and I'm only going to do a little bit of it now. So the renewal is not a full renewal, it's a partial renewal. So those are the kind of things. And our team does a fantastic job of predicting those upfront and making sure we can make it happen. But in these cases, we fell short. Some examples of organization and incentive issues are, in some cases, exactly the example I gave you where in this case, the success team, the renewal team and in some cases, accounting team had to be plugged in together, like if a sponsor changes the accounting team would know, but they would not know that the renewal team does not know that. And it's important for them and it sell through the crash. We have fixed that through putting the right incentives in place for everybody to be working together a lot more. And those are the examples of these are all the things that we know. And this is a very, very stable team that has done very well. We have work to do to solve them, but those are examples of that, Alex. I'll give it to Mike to say how we baked that into the 2025 guidance.
Mike McLaughlin: So Alex, we cited in the prepared remarks how much the renewal risk were worse than what we expected, and we've basically pushed that through into the full year of 2025 without assuming any increase that that are a result of the actions that Amit described. We're hopeful that they will have a positive impact, but we're not putting it into the guidance. We're going to work as hard as we can to improve those renewal rates, but in 2025 they are consistent with what we experienced in Q4 of 2024.
Alex Zukin: Got it. And then maybe just as a follow-up for both of you or for either of you, if you think about just the demand environment versus the execution framework versus competitive elements in market as projects evolve and technology is changing. Maybe stack rank, is it all three? Is it mostly one of the three? And again, kind of embedded typically after these types of events, there's probably talent changes or management changes that occur have you embedded any conservatism with respect to any of those elements into the mix?
Amit Walia: Many embedded question, I will give you the answer across the board. First of all, the lower demand for us was pretty good. Actually, as I said, this is all tied to renewals. We actually ended the year with the same demand cycle that we talked about throughout the course of the quarter, where incoming pipeline creation or incoming deals that we closed remain steady as we expected it to be. So that did not see anything, anything that we did not anticipate. If anything, I gave you examples how we saw the 100 customers using GenAI project that we so through telemetry. In fact, as we sit here, we are looking at the pipe create, which is about -- we saw a healthy 4x increase in pipe attributable to GenAI, which our customers said, hey, we are looking at IDMC, in the context of GenAI as you come to do POCs and demos show us that. We are seeing that as we look at the pipe for the first half of the year. So we didn't see any change to that in that area. And in terms of organization is, look, I will repeat that we have a very, very well oiled machine on that side of the world. We have a leader who's been there, who's run our renewals for 28 years in this company has a team that has performed significantly while delivering some of the best renewal rates in the industry. I think, the team has identified the issues. We have made operational incentive-related changes. I'm very confident that over the course of the year, they'll work it through. Like Mike said, we have not baked in any improvement assumption, we have work to do. But that's the full end-to-end answer to your questions.
Alex Zukin: Perfect. Thank you guys.
Operator: Thank you for your questions. The next question comes from the line of Koji Ikeda with Bank of America. Koji, your line is now open.
Koji Ikeda: Yeah. Thanks so much for taking my questions. I wanted to maybe follow up on the renewals. And so I'm just trying -- having a hard time squaring why renewals are a little bit more difficult right now, considering that Informatica is -- we view it as pretty mission-critical out there, and we've heard that from a lot of your customers and partners. So I just kind of don't get it. Is the competition getting better? Is pricing an issue? I mean, Amit, you mentioned other things going on. I wanted to dig into that comment a little bit, too. I mean, are budgets being shifted away from Informatica for something else? I'm just trying to understand what is going on with renewals.
Amit Walia: Sure, Koji. Look, I think let me further pass through what I was answering for Alex. And look, there is always going to be a portion of it that I may not have perfect answers for you today. We did not see -- as we went through all of it, like I said, we saw a ton of operational execution issues of our own internal that we can fix. By the way, like I said, the churn or increase or reduction in renewal did not mean that it was a 100% loss of a customer. It could be partial loss of a particular project or a particular -- so the customer will still be with us, but if they had $1 with us, it may be $0.50 or $0.75 or $0.25, whatever it is, like -- and mathematically, it comes out to whatever average is. There's a lot of that. And we, from what -- and I've talked to a bunch of those, and we've dug into a lot of those. As you can imagine, Koji, from the 1st of Jan to now, we've gone through absolutely looking at every opportunity and everything that is in our book of business over there. We didn't see any increase in any competitive dynamic over there. And I'm not going to sit here and say it's accounting-wise, 100% true, but we haven't seen anything that is different than a quarter before or two quarters before or three quarters before in the book of business. Like I said, we saw a bunch of little, little things adding up where we took our eye off the ball. And look, the other one is that this is a part of the engine that has hummed very well. And sometimes we, to be honest, take it for granted. And we tend to focus at the end of the year a lot on the net new business and trying to close out the year. And while these things are happening, I think all of us did not take that, I would say, as we should have done, and it happened to us and now we know what...
Mike McLaughlin: I'd just add a couple of things, Koji, for additional color. Remember, the renewal rates for subscription -- self-managed subscription cloud came down on a blended annualized basis by about 2%. So when you're talking about an overall business that's growing 6% or 7%, that is a big impact. But it doesn't, in our view, reflect a fundamental change in the nature of the business, the stickiness of the product or the thesis overall. You can make your own judgment, but that's how we see it. Secondly, as we mentioned in the call, the renewal rates in the cloud are still in the low 90s. We're not going to get more precise than that because there's too much noise quarter-to-quarter versus the signal. But it was 2% higher than we expected, but it's still in the low 90s, and we think that's pretty good with room for improvement for a software company like ourselves.
Koji Ikeda: Got it. Thank you, Mike. And maybe a follow-up for you, Mike. Why is GAAP total revenue so difficult to guide to? And I know in the press release, you laid out four reasons and two of which I totally understand, the push for professional services and FX. And I guess it's more of the other two. We did talk about renewal rates just now, but also durations as another issue. And so the question is, is the predictability just really hard with the Informatica model? I mean I'm just trying to really understand the GAAP total revenue guide aspect. Thank you.
Mike McLaughlin: Yes. Look, at the end of day, it's really hard. Let me just explain why. It has to do with the ASC 606 upfront accounting standard. And it's primarily around renewals because we don't actively sell any new self-managed, some of itself – itself, as we've talked about, to government customers and so forth. But that's a small piece of it. It's really about the book of renewals. And so if something doesn't renew, and as we talked about, our renewal rate for self-managed was about 2 percentage points lower than we had forecast. It's an outsized negative impact on revenue versus forecast because you're not just recognizing one year of not renewal or there's not a negative of one year. It's gets anywhere between 60% and 75% of the TCV of that contract, which was recognized upfront at renewal or not recognized on non-renewal. And those numbers get big really fast. Then the second piece is term length. And it's the same basic concept. The upfront revenue recognition is based on the total contract value of the renewed contract. And if it's a two-year deal for $100 a year, that's a 200 TCV, if it's 1 year -- if it's 1.5 years, that's 150 TCV and your upfront revenue goes down by that amount or more actually because of the way the percentages work. So it's just very sensitive to those two variables, the renewal rate and the term length.
Koji Ikeda: Thank you so much.
Operator: Thank you for your questions. The next question will come from the line of Matt Hedberg with RBC. Matt, your line is now open.
Matt Hedberg: Thanks for taking my questions. I guess on the migration deals, were some of these modernization trials driven by Power Center Cloud Edition and I guess, how should we think about the pace of these modernization deals through the balance of the year?
Mike McLaughlin: So yes, 80% of the modernizations that we booked in Q4 were Power Center Cloud Edition. The remainder were mostly master data management migration, which is an increasing portion of the mix as customers are now ready to move that as well. But in terms of the pace of those in future quarters, it's going to be lumpy and Exhibit A is what happened in Q3 versus Q4 -- bookings more than one-third in Q4 was modernization that was about 20% in Q3. Going forward, we have forecast about a 30-70 mix of modernizations versus net new customers and workloads. Before we had the results we had in Q4. We were expecting something in the mid-20s. So we've adjusted our forecast to reflect what we now see as a stronger momentum, stronger growth, bigger pipeline of modernization and full year 2025. But the quarter-to-quarter variability will be noticeable. Over the full year, though, we're expecting about a 30-70 mix.
Amit Walia: And I think -- I'm just going to take a step back again -- sorry, Mike, on this one. While obviously, we are sitting here not meeting the anticipated forecast we have, but modernization, while it has a handicap that Mike talked about in the short-term. But as you can appreciate, landing customer an IDMC has its natural benefit. First of all, with MOD deals also come a portion of non-MOD NND because new bookings because customers want to do other stuff also. And plus, the IPO expansion part of the platform is a very well-led machine, as we've shared. So it's a good thing. It obviously has -- other related accounting issues in the short term for us, which is what we see.
Matt Hedberg: Got it. Okay. And then maybe just on the slightly lower uplift, I think you said 1.5% to 1.7%. It sounds like that was expected. I guess, is there any reason to think that, that could continue to drift lower in the future? Or do you think that's like more of a stabilized range here at this point in kind of the migration path?
Mike McLaughlin: Yes. We think it's stabilized, but let me answer the question a little bit more broadly just so everybody understands the movement and how we view it. Modernization is a big opportunity. It's a big part of the strategy for Informatica. And we view the economic value of that modernization opportunity on a customer life cycle basis. And the customer life cycle value of a modernization deal has a number of moving parts. One is when or if the customer modernizes at all. So the sooner they modernize, the better it is versus later, the terms upon which we strike that initial modernization, the uplift multiple, the amount of credits we give away and so forth. And what happens to that modernized customer after they're on the cloud. And in terms of that third category about what happens to the customer once they're on the cloud, a lot of good things happen. Amit referred to this, but I'll repeat it. The modernizations typically drag additional new booking sales in addition the modernization of apples-to-apples requirement at the time of initial signing. So they need 100 IPUs to replicate their modernization. Typically, we'll buy more than that because all of the futures IDMC offer them advanced data quality and governance data access control, and they realize that there's more great stuff they can do with the platform so they buy more IPUs then just be required for the modernization. That's point one. Second, once they're up and running, the utilization is very good and then that expansion during the term is very healthy. Again, overall its 124% and we see that to be consistent deal as well. And then third and very importantly, we have found now that we have a significant -- sort of what we think is a statistically significant cohort of modernization deals that that have renewed, we find they renew at a much higher rate than a non-modernization deal does, because those workloads are implemented and they're sticky and they found new things to do. So when you put all that together and you put it into the life cycle value equation, we're very comfortable with that somewhat lower initial uplift ratio because that's only a part of the picture. Now, customers modernize primarily based on price. We've talked about that a lot, but primarily modernize when they're ready because there's a lot of planning, there's a lot of budget. There's a lot a lot of organizations, of test has to happen. The price does impact their willingness to modernize in a particular period. And so on the margin, that that somewhat lower uplift multiple that we are accepting is reflective of the fact we're happy to get customers to modernize under those terms because of the customer life cycle value. We think the range that we forecast for '25 will be pretty stable. But we're going to continue to look at it every quarter and every year in the context of life cycle value, and we may choose to have it be different in future periods.
Matt Hedberg: Got it. Thanks a lot.
Operator: Thank you for your questions. The next question comes from the line of Brad Zelnick with Deutsche Bank. Brad, your line is now open.
Brad Zelnick: Great. Thank you very much. Amit, I appreciate why you'd look internally at the root causes underlying these results and what's within your control. And the execution issues you've identified related to renewals. I think we kind of understand that. But what are you doing specifically to address this how much disruption is factored into the guide? Because it's common -- as we all look at software and various other companies that go through similar things, that traditions like these could take several quarters to get it right, especially if you're having to swap out people or make dramatic change.
Amit Walia: So two things. One comment I'll make and then again, I'll let my comment on the guide as to how we've taken that into the guidance. We actually do -- are not making any disruptive organizational changes. The changes that we are not, and I will repeat that we have a very, very well oiled renewals team. That team has successfully delivered some of the best-in-class renewals for us throughout. And by the way, leader of that team has been there with us from very beginning, whether it was when we transition from maintenance to multi-product maintenance to subscription cloud all the way throughout. And in a time like this, we've gone through and the team has collectively through the whole detail, deep digging to basically uncover the issues and we have a plan to fix it. Now as you can imagine, like I said, renewals are not necessarily a part of this, it takes time. So we're going to take that going to make the time that that we are going to take us to make that happen and not just make happen to fix what happened, but also take the opportunity to make the changes to basically take us to a whole level of better execution going forward. So we are not looking to make wholesale changes over there. We are basically -- so let me repeat that and for the reason because we know what the team has delivered throughout day and day out for us. There are incentives or other process changes that we have made, definitely, like how do we make sure that cross-condition happens, people have the incentives, so on and so forth. And that's already been baked in how we are tracking the business and how we are doing a lot of operational and financial tracking of the business at -- trigger. That has obviously increased manifold, and that's what we are doing. So that's with all that stuff happening. I think I'll hand it to Mike just said that we haven't -- we have rolled forward what we saw in Q4 for the year for the guide. So we do not want to over expect anything to happen sooner. We want to make sure that we are properly giving the time for all those changes to have happened over the course of 2025. But I have tremendous confidence that we will be able to get there as we finish the year.
Mike McLaughlin: And the only thing I can add to that is that as Amit mentioned, that changes that we're implementing in the additional processes and procedures and systems adds that we're making are not disruptive in the way that you're talking about it, they're additive. And so I don't see there being a risk of any of the changes that we're implementing, making things worse, it's an opportunity to make it better.
Brad Zelnick: That's good to hear, Mike. If I could ask just a follow-up. You called out less tenured self-managed as being higher churn than the legacy base. Why shouldn't we expect that the same thing will happen in cloud? Or are the new customers in cloud that you're adding going to be less sticky as well?
Mike McLaughlin: It's completely different, Brad, because the self-managed has been ended sale for two years. We're not innovating to it, and customers realize that they have to get off it at some point. And so everybody who is on-prem with us realizes that there's no future in it, and they don't have to move today and do anything dramatic or punitive to force them off, but they have to get off. And so very, very different from the cloud, where we are innovating -- we have the best products. We have the only platform. We've got a growing market behind us and sticky use cases.
Amit Walia: And to add to that, all of the AI capabilities are available only in the cloud, where customers have the ability of safe platform to do non-AI and the AI workloads at this time. So all these samples I gave on, they're all on the cloud. That's not available for anybody on the non-cloud products.
Brad Zelnick: Thanks for that. That’s very helpful and very logical. Thanks for taking the questions.
Operator: Thank you for your questions. The next question will come from the line of William Power with Baird. William, your line is now open/
Unidentified Analyst: Hi. This is Samuelson for Will Power. Thank you for taking the question. Just wanted to follow up on a couple of questions ago about the lower uplift ratio that you're expecting going forward and definitely appreciate the comments on how the post modernization activity can actually be even more important than the initial uplift ratio. But I just wanted to be clear on the reason why you're seeing the lower uplift ratio. I know in the prepared remarks, you alluded to the higher concentration of power center cloud addition deals. Is that what's informing the expectation just a higher concentration within your expectation, pretty lower uplift in 2025? Or is there other elements playing there? Any color would be great.
Mike McLaughlin: Yes, sure. Thanks. It is primarily about the concentration of that in the mix. But some of it is price discovery as we have more experience with it. to finding the sweet spot of where we are providing enough financial incentive for folks to move but not so much that we're just giving away value and not really causing customers to modernize any faster. So it's a combination of the mix, but we actively watch the pricing and the pricing behavior of the field in terms of what works and what doesn't to achieve the outcome we want in terms of the pace and volume modernization. And that's why it's gone to where it's gone.
Unidentified Analyst: Okay. Thank you. I’ll pass it back.
Operator: Thank you for your question. The next question comes from the line of Howard Ma with Guggenheim Securities. Howard, your line is now open.
Howard Ma: Great. Thank you. I guess for either Amit or Mike, the 40% of IDMC net new ARR that's coming from new customers, could you just clarify, are those net new to Informatica? And if so, can you give us some more color around these customers? Where are they coming from? What's the mix of these customers in terms of size or industry vertical and which IDMC product families are they landing on?
Mike McLaughlin: Well, yes, they are absolutely debt new. And by the way, you'll see in our investor materials, the annual disclosure of our cloud customer count and it was up 8% year-over-year. We're not going to give that every quarter, but once a year, you'll get a glimpse of that that and 40% basically is what accounts for 8% customer count growth. And in terms of the -- I'll let it pile on, but it's highly varied. It's a really broad, diverse and, I think, a healthy mix of folks that are coming to us, but...
Amit Walia: I think the example of that, I think, yes, it's first of all, very diverse. It's not necessarily tied to a particular industry vertical. Of course, you can expect the core verticals like we have the world -- the company -- the specific economy – company that is the most news with whole Gen AI build out, they basically are leveraging our platform to basically manage their visibility into supply chain. In fact, 8 of the top 10 semiconductor companies around the world are our customers right now and a couple of them are net new customers. So, similar to that -- so across the board, it's not just financial services or health care, which ended up being the largest businesses tech, insurance companies, things of that -- and of course, there are international companies as well into that mix as well. So, those are the kind of companies. And when you talk about the use cases, like I said, it's more use cases than we think of products because, as I always say, multiple products get used on the IDMC platform, the semiconductor company is looking to manage their supply chain and includes both master data management and data quality as well as data industrial, those capabilities. And then some of the other use cases around analytics that includes integration, cataloging, quality, both app integration and data integration, those kind of capabilities. So, those are the pieces.
Mike McLaughlin: And they tend to be large customers.
Amit Walia: Yes. All those tend to be large customers. So, in our case, it's always large customers, not as SMB or low endorsement markets.
Mike McLaughlin: I wouldn't say always. But the predominance is the large enterprise. And as you can see also from our investor material that our average cloud ARR per customer grew 24% year-over-year and is now close to $350,000 per customer. So, the smaller mid-market customers that needs to do simple data transfer from a few apps to 1 data warehouse, that's not our market.
Howard Ma: Got it. Thanks. And as a follow-up, the lower uplift ratio, the 1.5 times to 1.7 times, Mike, you mentioned in your explanation earlier that there are additional IPUs that are dragged along. If you were to -- and I'm assuming that's at the time uplift, but it's not included in that 1.5 times to 1.7 times. If you were to include those, -- so is that true? And then if you were to include those, would it make the initial migration whole, if you will, relative to the 2 times prior?
Mike McLaughlin: Yes, I think I see what you're getting at. So, first of all, the uplift drag -- the drag along, it sounds like a bad word, but I mean in a good way, is at the time of signing the initial modernization. It's not later. It's when they first sign up to modernize the workload, they realize there's other great stuff we can do with IDMC. So, let's buy some more IPUs to use that additional stuff that's over and above what we need to apples-to-apples run the migrated on-prem work cloud. So, hopefully, that's clear. The 1.5, 1.7 or the historical ratios do not include that additional -- at time of signing uplift, it's only the apples-to-apples on-prem to cloud modernization uplift ratio.
Howard Ma: That's super helpful, Mike. And sorry for the additional follow-up, but I just -- I think the natural follow-up to this is, so you're guiding to $1 billion in cloud ARR now, right? I think initially, it was probably closer to like $1.4 million. If you were to -- because you lose out on a little bit of the cloud ARR, like the forgone amount at time of migration. And as the migration mix becomes bigger, that amount gets bigger, like if you were to -- have you tried sizing -- how much -- I think I think you know where I'm getting at, like if you'd add on that to be $1 billion, like does that help close some of that gap versus that $1.4 billion, -- the stuff -- the amount get later out upon contract renewal?
Mike McLaughlin: Yes. Look, the $1.4 billion is -- I don't know where you got that number. I don't want to endorse that. But you're right, directionally and we tried to get at it in the prepared remarks that the bigger contribution that modernizations have to the total gross amount of software, cloud software that we sell in a period, the less that translates to ARR because of the accounting rule that we have -- to debit the maintenance and subscription credits that we get for the old on-prem stuff against the new cloud deal for the entire term of new cloud deal, which happens to be average 2.5 years. So yes, in the short term, the more migrations we sell as a percent of the total, the lower the near-term ARR contribution is going to be. But the greater the potential to unlock that hidden ARR when it renews because the customer is paying the full amount customer sees the full amount. They don't understand or care about the accounting back end that requires us to show less ARR than they're actually paying. So when it comes up for renewal, if we renew it, even without a price lift, that's an uplift to what the actual contract value is. So the more we do -- due to the more of a drag it is in the short term, but more of an unlock benefit it is in future periods as those things are new.
Howard Ma: Thank you for clarifying.
Operator: Thank you for your questions. The next question comes from the line of Patrick Colville with Scotiabank. Patrick, your line is now open.
Q – Joe Vandrick: This is Joe Vandrick on for Patrick Colville. Amit, I think you mentioned 100 enterprise customers using Informatica for GenAI. What will it take for more widespread adoption here? And then given 2025 is the year of AI agents. What does Agentic AI mean for Informatica?
Amit Walia: So two different questions. Number one is that I always remind everybody that because customer counts can be one of those things that everybody can get adopted around the -- for all practical -- promises, we end up serving enterprise customers. So there are not any small customers that are trying to do any very small use cases. These are enterprise customers to solve mission-critical problems and they are in the POC phase right now to figure it out. Like, for example, I give you examples of a healthcare company trying to basically doing the work over there to figure out a better patient engagement, that's the large health care company or a biotech company building their own AI work, leveraging us and Google Cloud to get insight from the internal system. So 100 can be can look small, but when you think of large customers, these are meaningful customers that obviously translates into a bigger upside over the course of long term when they go into production. To your question on Agentic, look, given that, and I think it's a great -- let me remind you, we launched CLAIRE in 2018 when we were in the ML world, so one of the benefits of that has been that as we were able to hold CLAIRE over the last many years, when GenAI came by, we could instantly get to the world of Copilots, and we could put the CLAIRE GPT out for preview and then it got launched, and obviously, we talked about the customers using CLAIRE GPT as well. And stay tuned, obviously, more coming on the CLAIRE world in terms of many, many more exciting announcements. I think you will basically get to see them an Informatica World, which I hopefully you'll see all of you there.
Q – Joe Vandrick: Thanks. And if I could sneak one in for Mike. How much of Informatica's business is US federal government? And how should we think about that segment in 2025? Thank you.
Mike McLaughlin: Yes. It's less than 5%. And we have no indication that it's any different today than it was yesterday, but we're watching it.
Q – Joe Vandrick: Thanks so much.
Operator: Thank you for your questions. The next question comes from the line of Miller Jump with Truist. Miller, your line – your line is now open.
Q – Miller Jump: Hi. Thank you all for taking the question. I'll keep it to one. Just you mentioned partial renewals and talked about $1 going to maybe $50 or even $0.75. Just curious, like, is that something that remains in the pipeline with the chance to recover it? You mentioned no change in competition. So just curious where that is going.
Amit Walia: Yes. Look, I mean, the answer is yes. I mean,, our peers don't ever give up. I think that's absolutely right. And I think not losing a customer is a very important thing because it's not like we've had many over a period of time, the team will basically work their way back in, present new use cases may emerge for them to basically use the platform differently. The answer to that is yes, which is why I -- was important reminding that a higher -- lower renewal rate did not mean that in all cases, we lost the customer. In a lot of cases, we just partially reduced the footprint over there. So yes, of course, but at the same time that, as I said, team doesn't lose sight of what the other use cases at a customer.
Mike McLaughlin : And the ability to do that to recover so that in future periods is made completely frictionless by the pricing model we have, the Informatica processing unit. When they reduce or downsell themselves at renewal, they're not giving up specific products or rights to do certain things, they're just buying less IPs. And later on, when you let them find new use cases and they need more, they just buy more capacity. They don't have to negotiate for a new contract or a new service.
Q – Miller Jump: Understood. Thank you.
Operator: Thank you for your question. The next question comes from the line of Austin Dietz with UBS. Austin, your line is now open.
Austin Dietz: Hi, Mike, it felt like we were talking about a return to double-digit growth previously. It sounds like you might update the framework a little later this year, but just given the 3% constant currency ARR guide for the year, like any initial thoughts on how we should be thinking about the overall book wage in Informatica going forward?
Mike McLaughlin : Yes. We're not providing additional guidance on that at this time, what we did say in the prepared remarks is that we do expect both of those metrics ARR and revenue to have higher growth in 2026 than 2025 off a low base than we had thought prior to the end of Q4, of course. But beyond that, we're not providing any additional guidance stated, we do expect to do so later in the first half.
Austin Dietz: Okay. Thanks so much. And then just on the 2025 cloud ARR growth guidance for to go from, I think, roughly 34% this year at 25% next year here in 2025. It's a decent sort of detail on the growth rate where -- and I know we were sort of talking about more migration deals coming to cloud this year as well. So I think we hit on some of the factors, but maybe if you could just talk through the moving pieces of the 2025 cloud ARR growth guide?
Mike McLaughlin : Yes, sure. So we always expected that the growth in 2026 -- sorry, 2025 for cloud is going to be lower than 2024, right? We had expected 35.5% growth in 2024, we landed at 34.1%. Even if we have been at 35.5%, the guidance for 2025 would have been lower than 2024. So start there, versus what we hypothetically would have guided had we not learned the things we learned in Q4. There are two things that that are different lowered the guidance versus what we would have guided otherwise, and that's renewal rate. We talked about that. And that's higher contribution of migrations to the total gross amount of software bookings that we are forecasting for 2025. Those two are the primary two drivers and they account sort of 50-50 for the reduction in the guide the guided cloud subscription ARR growth in 2025 versus what we would have done had Q4 ended exactly as we expected.
Austin Dietz: Okay. Thanks Mike.
Mike McLaughlin: You’re welcome.
Operator: That concludes the Q&A session. I will now turn the call back over to management team for final remarks.
Amit Walia: Thank you. Well, look, I appreciate everybody dialing in. Look, as I said, we didn't end Q4 as we anticipated and of course, the fiscal year. Having said that, like you heard from me, we know what are the issues that we need to work on and the team is all over it to work on it. You heard from Mike, as we've talked about 2025. I think I step back and I look at it that in spite of all of that stuff, we actually are walking into 2025 as a landmark and our cloud business actually hits a $1 billion ARR mark and with a 30 -- 122%-plus NRR, growing healthily our average ASP, the growth of $1 million dollar plus customers. And of course, with the profitability profile that we continue to have, we remain committed to continuing to execute against our commitments. And thank you all for taking the time today.
Operator: That concludes today's call. Thank you all for your participation and you now disconnect your lines.